Melinda Fried: Thank you for joining us to discuss e.l.f. Beauty's Second Quarter Fiscal 2022 Results. I'm Melinda Fried, Head of Corporate Communications. With me or Tarang Amin, Chairman and Chief Executive Officer and Mandy fields, Senior Vice President and Chief Financial Officer. We encourage you to tune in to our webcast presentation for the best viewing experience which you can access on our website at investor.elfbeauty.com. Since many of our remarks today contain forward-looking statement, please refer to our earnings release and reports filed with the SEC, where you'll find factors that could cause actual results to differ materially from these forward looking statements. In addition, the company's presentation includes information presented on a non-GAAP basis. Our earnings release contains reconciliations of these differences between the non-GAAP presentation and the most directly comparable GAAP measure. With that, let me turn the webcast over to Tarang.
Tarang Amin: Thank you, Melinda and good afternoon everyone. Today we'll discuss the drivers of our Q2 results as well as a raised outlook for fiscal 2022. I want to start by recognizing our e.l.f. Beauty team. We delivered another terrific quarter. Q2 net sales of $92 million were up 27% versus year ago, marking our 11th consecutive quarter of net sales growth. We delivered adjusted EBITDA of $18 million up 29% versus year ago. With the momentum we're seeing we're raising our full year sales guidance which Mandy will discuss shortly. Our products are resonating and our digitally led strategy, core value proposition and ability to adapt e.l.f. speed continue to fuel our performance. In Q2 color cosmetics category trends were slightly below 2019 pre-pandemic levels, with COVID related volatility offsetting pent up demand and stepped up levels of innovation. We're significantly outperforming our competitors in this backdrop underscoring the strength of the e.l.f. business model. In Q2. e.l.f. was again the only top-5 color cosmetics brand to post retail sales growth above 2019 levels. e.l.f. continue to gain market share with 5.6% of the category up 30 basis points year-over-year, and was the only top-5 color cosmetics brand to grow share above pre-pandemic levels by a wide margin. Strategic extensions continue to be an important part of our evolution into a differentiated multi-brand beauty company. We're encouraged by the progress we're making with W3LL PEOPLE and Keys Soulcare as we build brand awareness. We recently launched W3LL PEOPLE's first skincare collection, expanding our product range in the largest category of clean beauty. We also completed our first consumer insights study for Keys Soulcare that showed strong consumer response to our product quality, giving us increased confidence in the long-term opportunity as we accelerate trial and awareness for this brand. Our relentless focus on our 5 strategic imperatives is driving results across our brand portfolio. Let me provide a few highlights from the quarter. Our first strategic imperative is to drive brand demand. We continue to find innovative ways to engage and entertain our community, moving beyond traditional beauty boundaries. We joined forces with recording artists Tierra Whack to launch our new Big Mood Mascara. Mascara is the largest segment within cosmetics and a significant whitespace opportunity for e.l.f. With the launch of Big Mood, we're offering big bold and beautiful lashes at an incredible price point. Big mood is priced at just $7 compared to higher price top-5 mascaras. We're encouraged by the early results we're seeing with Big Mood. Big Mood is the number one selling eye product on elfcosmetics.com since launch. And it also won the coveted Allure Best of Beauty 2021 Award for Best Mascara Beauty Steal. Also during the quarter we enjoyed a pop culture moment with our brand debut on the game show Jeopardy. [Audio-Video Presentation] Well Matt Amodio's answer was wrong. A rarity for would be a 38 time winner. We quickly capitalize on the moment in social media. Our team made fast friends with Matt and our social channels went live the next morning with ears lips face branding. Our digital community and the media took notice with engagement soaring in the days of followed. In the end we donated the $8,000 Matt lost on his wrong answer to dress for success, proving we can have some fun and advance our purpose. Our recently launched e.l.f. value campaign is yet another example of how our team translates social listening and consumer insights into action. According to our internal studies, 66% of consumers believe that value is the most important factor when buying makeup. Leveraging this insight, we launched a value campaign to underscore our unbeatable value using a platform native user generated content production style we set out to show the world that looking good doesn't need to cost extra. [Audio-Video presentation] The consumer response has been phenomenal with view through rates significantly exceeding benchmarks across multiple social platforms. Our e.l.f. value campaign aligns with our mission to make the best of beauty accessible to every eye, lip and face. Our brand building efforts continue to gain recognition. In Piper Sandler's Semi-annual Teen Survey, e.l.f. ranked as the number 2 overall preferred makeup brand for teens, and the number one brand among average income teens, reflecting our growing appeal with Gen Z. Women's Wear Daily recently awarded e.l.f. Beauty as a best performing beauty company in 2021, putting us an admirable company with Nike and Target who were recognized as the best performers in the Fashion and Retail categories. Looking at Keys Soulcare, our groundbreaking lifestyle beauty brand with Alicia Keys, we continue to build industry buzz. We garnered 6 billion global press impressions in the last quarter. Keys Soulcare product offerings were prominently featured as Alicia got ready for the 2021 Met Gala, helping her achieve a radiant glow underneath a bold red lip that turn heads all night long. The Met Gala moment increased traffic to our site by 45% that week. The brand continues to win awards in Allure's Best of Beauty 2021 awards, Keys Soulcare's Sacred Body Oil won Best Body Oil. We're also encouraged by the results we saw in our first consumer insights study for Keys Soulcare. It's clear the brand appeal is high and consumers responding to the brands clean, high quality ingredients, unique scents and sleek packaging. Our second strategic imperative is a major step up in digital. Our digital led strategy continues to serve us well with our digital consumption trends up triple digits on a 2 year stack basis relative to 2019 or pre-pandemic levels. We continue to see a channel shift between digital and brick and mortar in Q2 in line with our expectations. Digital channels drove 12% of our business in Q2 as compared to 14% a year ago and 8% 2 years ago. On elfcosmetics.com, approximately 50% of our shoppers in Q2 were new consumers. Our new consumers continue to over index on skincare and signups for Beauty Squad Loyalty Program. Beauty Squad now has over 2.6 million members up nearly 30% year-over-year. Our loyalty members are highly valuable part of our digital ecosystem. They have higher average order values, purchase more frequently and have stronger retention rates and drive almost 70% of our sales on elfcosmetics com. We recently launched Beauty Squad 2.0, a recharge loyalty program featuring new branding point structure, incentives to move up to top tier status and dozens of new ways to engage and earn points. Our loyalty program is an integral source of first party data and we'll continue to look for ways to enhance her Beauty Squad experience. Our third strategic imperative is to lead innovation. Our superpowers that center on our ability to deliver 100% cruelty free, premium quality beauty products at accessible prices with broad appeal continue to resonate with consumers. E.l.f. Cosmetics our ongoing success this quarter and our core segments, brushes, primers, concealers, brows and sponges which make up approximately half of our sales. We have the number one or two position in all 5 segments and continue to drive sales growth in each. Skincare remains a major focus across our brand portfolio. In Q2 e.l.f. skincare consumption was up 22% track channels compared to a category that was up 7%. In Piper Sandler Semi-annual Teen Survey, e.l.f. skin moved up 4 spots to be the number 13 favorite skincare brand for teens as we continue to build awareness with Gen Z. Our recently launched skincare collection for W3LL PEOPLE fuels our expansion in this category. Fans of W3LL PEOPLE have long hoped for skincare and we're thrilled to offer this new plant power collection to our community. W3LL PEOPLE skincare offers 5 new products with dermatologists developed formulas that support long-term skin health, and are infused with rich plant powered ingredients like snow mushroom, aloe juice, and broccoli seed oil. With a decade long heritage of creating cutting edge super clean products, while people continues to raise the standard for high performance, plant powered clean beauty. Our acquisition of W3LL PEOPLE significantly accelerated our efforts in clean beauty across our brand portfolio. While people brought us in the in house board certified dermatologist, Dr. Renee Snyder, who was instrumental in developing Keys Soulcare as 100% clean from day one. The acquisition also accelerated our clean journey on the e.l.f. brand. And we're excited to announce that e.l.f.'s product formulations will be 100% clean by year end. Over the past several months, our team reformulated over 350 SKUs. There are now over 1,650 ingredients we do not use. While it take a number of months for these new formulations to roll out. We're excited to add to our existing superpowers. With e.l.f. consumers can have premium quality beauty products at accessible price points that are clean, vegan and cruelty free. Our fourth strategic imperative is driving productivity and space expansion with our retail partners. We continue to see shelf space opportunity. As we've previously reported, we're pleased with the space expansion we've secured with CVS in fall 2021 and Walmart in spring 2022. In a subset of each of their doors. Internationally, we're also expanding our shelf space with Boots and Superdrug in the UK in spring 2022. International represents major whitespace at just 11% of our business today. Our performance in the UK shows that our focused international strategy is working. The latest Nielsen data shows e.l.f. now ranks number 8 in mass cosmetics in the UK up from number 12 last year and continues to be the only top-10 brand to post growth. Keys Soulcare's elevating and accelerating our global retail strategy. We've launched the brand in 10 countries to date with 4 major retail partners. In the US with Ulta Beauty, in the UK with Cult Beauty and Harrods. And in eight countries across Western Europe with Douglas. We remain excited about the global potential we see for this brand. We're also pleased that W3LL PEOPLE will gain its first in line placement in a subset of Ulta Beauty stores in spring 2022, progressing from a limited edition end cap as part of Ulta's conscious beauty program. Our fifth strategic imperative is delivering cost savings to help fuel brand investments. As we spoke about in recent quarters, and like many other companies, we are facing a global container imbalance and port congestion, which are slowing shipments and increasing our transportation costs. I'm incredibly proud of the e.l.f. Beauty team for how we've navigated these challenges. In fact, Walmart recently asked us to share our key supply chain learnings with their vendor partners as we are early and making strategic supply chain decisions. Back in August, we spoke about foregoing our 2021 Holiday program and increasing our inventory levels to balance strong consumer demand we're seeing with the longer lead times industry is facing. As a result of making these early decisions, we've been able to maintain approximately 95% in stock levels of our key retail partners. While there were environment remains dynamic, we're pleased with how we've managed these global supply chain challenges. Before I turn the call over to Mandy Let me provide a bit more perspective on the overall strategic framework of our company and brands. Our mission is to make the best of beauty accessible to every eye, lip and face. Underpinned by the foundational work behind our five strategic imperatives, the strength of the e.l.f. Cosmetics brand has allowed us to expand our portfolio with strategic extensions that support our purpose and values. Today we build brands designed to disrupt industry norms, shape culture and connect communities with positivity inclusivity and accessibility. We believe our brand portfolio and the continued execution of our 5 strategic imperatives will fuel our ability to win. I'll now turn the call over to Mandy.
Mandy Fields: Thank you, Tarang. I'm pleased to share the highlights of our strong second quarter results and our fiscal 2022 outlook. We delivered Q2 net sales of $92 million, up 27% versus prior year, driven by broad-based strength in our national and international retailers. Gross Margin of 63% was down approximately 200 basis points compared to prior year. We saw gross margin benefits from cost savings and margin accretive mix. We also benefited from the price increases we implemented on a subset of our SKUs in May, mainly internationally. These gross margin benefits were more than offset by changing FX rates and elevated transportation costs as we worked to navigate the global container imbalance. Overall, our gross margin rate came in a bit better than expected this quarter, due to the timing of when the higher transportation costs flow through our P&L. That said, given these headwinds, we continue to expect gross margin to end the year below fiscal 2021. On an adjusted basis SG&A as a percentage of sales was 49% compared to 51% last year. Our increased investment behind marketing and digital was more than offset by leverage in our non-marketing related spend. Marketing and digital investment for the quarter was approximately 16% of net sales versus 15% a year ago. Q2 adjusted EBITDA was $18 million, up 29% versus last year, and adjusted EBITDA margin was approximately 20% of net sales. Adjusted net income was $11 million, or $0.21 per diluted share, compared to $8 million or $0.16 per diluted share a year ago. Our liquidity remained strong with the combination of our cash balance and access to our revolving credit facility, sitting at approximately $130 million. We ended the quarter with $42 million in cash on hand, compared to a cash balance of $41 million a year ago. Our current cash balance reflects paying down our revolving credit facility, reducing our overall debt by $13 million in the quarter. Our ending inventory balance was $77 million in line with our expectations as compared to $64 million a year ago. As a reminder, last quarter we spoke about anticipating higher inventory levels in September from the combination of longer lead times higher transportation costs the addition of Keys Soulcare and W3LL PEOPLE and our continued business momentum. We expect our cash priorities to remain on investing behind our 5 strategic imperatives and supporting strategic extensions. Now let's turn to our outlook for fiscal 2022. We now expect net sales growth of approximately 14% to 16% versus fiscal 2021, up from 12% to 14% previously. We continue to expect adjusted EBITDA between $66.5 million to $68 million, adjusted net income between $36 million and $37.5 million and adjusted EPS of $0.65 to $0.68 per diluted share. We expect a fully diluted share count of approximately 55 million shares and our fiscal 2022 tax rate to be approximately 23% to 24%. Let me provide you with more color on our planning assumptions for fiscal 2022. Our raised top-line guidance largely reflects our outperformance in Q2 relative to our expectations. Looking to the second half, we remain mindful of the industry wide container imbalance and the continued elevation in costs as a result. As Tarang mentioned, we're proud of how our team has navigated these logistics to date. However, it remains a dynamic environment and we believe it's prudent to continue to plan for supply chain constraints and elevated costs to impact us into the second half. As a result, even on the higher net sales growth outlook, we are holding our adjusted EBITDA expectations between $66.5 million to $68 million in line with last quarters outlook. Against this backdrop of global cost pressures, we still expect to deliver healthy growth in adjusted EBITDA up 9% to 11% year over year. We remain focused on what we can control. As we've discussed previously, we're taking action to mitigate the impact of some of these costs on our financial performance, including through cost savings initiatives, and a sharper focus on key areas of our non-marketing SG&A spend. From a cadence standpoint, we expect top-line growth to be stronger in Q3 than in Q4. As a reminder, in Q4, we will be lapping a 24% net sales growth quarter, which was helped in part by stimulus related spending, and pipeline sales associated with the launch of Keys Soulcare. As discussed in August, while we expect top-line growth to continue in Q3, we expect Nielsen track channel data to likely show some periods of share losses, given volatility in the base, and the lack of our annual holiday program. As a reminder, we made the decision to forego our holiday program to prioritize core assortment in the face of the industry wide container imbalance. Overall, we're quite pleased with our Q2 results and are excited about the opportunities ahead in fiscal 2022. Our performance over the last 11 quarters, both on an absolute basis and relative to the category demonstrates how our 5 strategic imperatives are driving results. And we remain confident in the long-term growth potential for our portfolio of brands. With that operator, you may open the call to questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question comes from Steph Wissink with Jefferies. Please go ahead.
Steph Wissink: Thank you. Good afternoon, everyone. We have 2 more tactical questions. The first is Mandy, if you could just help us on the holiday program? Can you help us square that up on what it might have represented last year so just from a comparability perspective? And then, as you took that out of the plan for the back half, were you putting back in something else that allowed you to kind of keep the sales targets as you had planned them or was that already in the base? When you guided initially?
Mandy Fields: Yep. So I'll take that question, Steph. For the holiday program, just as a reminder, we said last quarter, that was about a $6 million net sales impact for us. And so if you think about how that translates to retail, or what you might see in Nielsen that's roughly a $12 million impact out there. It was embedded in our guidance last time around when we mentioned it. So that's why you're not seeing any kind of material change from that perspective.
Steph Wissink: Okay, great. Then as a follow up. We're getting asked just to help quantify shipping and some of the container cost inflation that you're seeing as a percentage of your cost of sales. Can you give us some scope around how much of the cost of sales is tied to shipping and logistics?
Mandy Fields: Yeah. So I'll start with a more macro view of the cost headwinds that are being carried in our gross margin. And so as you know, we're carrying 25% level tariffs. And that's been with us now for a couple of years. We also have the FX impact. And we have previously quantified that as up to 200 basis points impact. And then we have the ocean, freight and mixture of air freight in there, all those costs that we're carrying this year. Overall, if you take into account all of those things that's a roughly about 1000 basis point impact of cost headwinds that we're carrying in our gross margin mine. What I feel great about is that even with that amount of headwind, we're still delivering adjusted EBITDA up 9% to 11% expecting to deliver adjusted EBITDA of 9% to 11% for this year. So, a lot of headwinds, really proud of the team, though of how we have navigated it thus far, pulling the levers that we have at our disposal to help mitigate a portion of those costs. But again, still delivering - expecting to deliver strong EBITDA growth this year.
Steph Wissink: Mandy, last one is any ASP increases that you expect to implement going forward in relation to those costs and impacts?
Mandy Fields: Yep. So as you may recall, in May, we took a price increase. And that was on a smaller set of SKUs here domestically, but a much larger set of SKUs internationally. And so that had about 100 basis points positive impact in the quarter for us from taking that pricing increase. As we think about on the road ahead, really looking at how permanent do we feel these cost pressures are, to the degree that they are more permanent versus not. We know that we have pricing power. And that's certainly a lever that we have at our disposal. On the other hand of that, we just talked about our value campaign in our prepared remarks, and also want to make sure that we continue to provide that value for our consumer. So I would say it's a lever at our disposal. But more to come on that.
Steph Wissink: Thank you very helpful.
Operator: The next question comes from Andrea Teixeira with JPMorgan. Please go ahead.
Andrea Teixeira: Thank you. So I wanted to just go back to the bridge of the growth in sales that you had. Can you break down how much was I know, usually you don't, but just to give us a perspective of volumes and pricing, and maybe mix given that you have obviously more of the brands that carry higher ASP. As well as if you had any pull forward? Are we've seen companies like having and retailers demanding for faster shipment ahead of the holiday? So I'm wondering if - and I know that your holiday program is relatively small. But I was wondering if there is anything related to that or innovation or distribution that we should be aware of?
Mandy Fields: Yeah. Hi, Andrea. So the sales growth in Q2, really pleased with 27% sales growth ahead of our expectations. And that was really driven by core momentum behind our portfolio of brands. I would say the second thing that drove that is that in September, we were able to start to improve upon our fill rates. So as that inventory came into our DC, and we were able to get that back out to customers that did also help us in September. So I would say it was really those 2 factors that drove that growth for us in Q2.
Andrea Teixeira: And then I think, going back to the first question in terms of the pricing, how much you realize so far and it's embedded in there? And I'm assuming from what you discussed in terms of the tough comparisons in the fourth quarter, the balance of what we see in the second half will be mostly in the third? Can you kind of give us the idea if again, you're going to see this carryover or fulfillment that you just discussed, plus the pricing timing, hitting the third quarter and helping the momentum and then potentially having a steep deceleration. But just on the fourth quarter, is that the way to think?
Mandy Fields: Yes, that's right. As we mentioned in our prepared remarks, we do expect Q3 to be a stronger quarter than Q4. And on the pricing front, we said it's about 100 basis points of benefit to us in the second quarter. And as we look out, we're being prudent on our expectations on the back half, given the dynamic environment that we're operating in from a supply chain standpoint. We talked about holiday that is going to impact our Q3. And in Q4 to your point, Andrea, we will be cycling that 24% and the base which was driven by stimulus that we're accounting for as well.
Andrea Teixeira: And one last one, I'm sorry to squeeze in Mandy. But this is super helpful. In case you have more demand. So obviously you are prudent because of the moving pieces that we have ahead of us. But if you do have demand, do you have the supply? Do you have the products? I remember you having contracted a lot of containers ahead of time. So I was wondering how much you can flex in terms of supply to keep fulfillment if you know you continue to be as successful as you have been with sales?
Tarang Amin: Hi, Andrea, this is Tarang. I'll take that one. We feel great about the work that our operations team has done in terms of securing containers. About 4-5 months ago, we made the decision on holiday we're having a tough time securing containers we're worried about our ability to. We're able to get all the containers we want right now. As Mandy said they are coming at an elevated cost and that's been embedded in our guidance. But overall we feel good about our ability to meet consumer demand.
Andrea Teixeira: Perfect. Thank you very much. I'll pass it on
Operator: The next question comes from Dara Mohsenian with Morgan Stanley. Please go ahead.
Dara Mohsenian: Hey guys. So just looking to follow up on sort of revenue guidance for the back half. I mean, you guys are assuming flattish type of trends year-over-year. Obviously there's the holiday program, right there. There's some risk around shipping in general and product availability, but it does sound like bill rates got better inter quarter. You've got higher inventory levels here. So just wanted to get a sense if there's anything else besides the holiday program and the potential supply environment that's really limiting you as you look at the back half the year. Obviously, the tougher comp Q4. But, given you over delivered substantially in each of the last couple quarters, but you haven't actually raised back half guidance. I'm just wondering if there are other issues that have come up, or it's just those discrete factors that we talked about? And then secondly, on the pricing comments it sounds like you're, you're sort of waiting to see if these costs stay higher or not. Any thoughts on if these costs are more temporary? Or if they sustained as you look out? Is it more through the holiday season, when they're potentially these cost pressures and things should get better after that? Any thoughts around that would be helpful also. Thanks.
Mandy Fields: Perfect. So I'll take the first question just on our revenue growth. As I look overall on the year, so our fiscal '22 guidance for this year is up 14% to 16% on a net sales standpoint. When I look at that on a 2-year stack basis, it's a plus 29%. So well above kind of competitors in the industry and something that we feel great about. How that shakes out across the quarters. As you've noticed, Dara we do have absence of the holiday program this year in Q3. And we will be cycling harder compared as we get into Q4, outside of that feel great about where our businesses and the momentum that we have behind our brands.
Tarang Amin: And on your second question Dara, on the pricing comment. I would say we've embedded into our guidance, elevated costs through the balance of this fiscal year. We'll be taking a look over the next several months to say do we forecast that to be - to continue past this fiscal year. And that'll be part of our evaluation on whether we take additional pricing. Usually the best time for us to price is during our spring recess. So we're actually evaluating that as we speak. But overall, we feel good container imbalances over time balance out, when I take a look container costs long-term, they tend to come down. And if we see something different, we'll certainly factor that into our pricing discussions. But overall, I'd say we've already embedded the cost into the balance of this year.
Dara Mohsenian: Great, that's very helpful. Thanks.
Operator: The next question comes from Erinn Murphy with Piper Sandler. Please go ahead.
Erinn Murphy: Great, thanks. Good afternoon. Just a couple of questions for me. First, Mandy, for you on the 27% growth in the quarter could you talk a little bit more about how that broke down sell through versus sell in? And are you already starting to see some of the benefits of the CVS incremental shelf space? And then secondly, just bigger picture if we could look at both the cosmetics as well as the skincare categories? You mentioned a little bit more volatility in cosmetics. Do you see that reversing anytime soon, as we see kind of accelerated going out again, trends? And then maybe share a little bit more about what you're seeing in skincare. Thanks so much.
Mandy Fields: All right. Hi, Erinn. So on the 27% growth in the quarter, I would say that was ahead of what you all would have seen from a Nielsen track channel standpoint. And that just really speaks to some of the strength that we're seeing out of international, as well as in some of our untracked customers. So we feel great about kind of what we were seeing from a sale through in Q2, as well as what we were able to sell in. Like I mentioned, our ability to kind of impact fill rates in September helped us as well. So overall, feel great about how the quarter came in.
Tarang Amin: And we're also seeing some benefit from the CVS distribution, but that's much smaller on our overall base. And so we'd expect that to build over time. In terms of the category perspective, I would say on cosmetics in Q2, we'd seen a couple months where cosmetics was - the overall cosmetics category was above 2019 levels. And then through the balance of the quarter, we believe there's some COVID related volatility there, whether it be the delta variant, or something else that really got in the way of the momentum we were seeing in the category. Overall, we're still quite bullish on the cosmetics category. It's an important category for self-expression, what the level of innovation we're putting out as well as what we're seeing from competitors gives us hope that the category trends will improve. We'll have to see at what pace they do improve, but overall, I think overall are very bullish on the category. And skincare just as bullish, if not even more. So. We've seen skincare hold up quite well throughout the pandemic. We continue to see good growth rates in the categories up 7% and track channels in Q2. Our businesses up 22% for e.l.f. in track channels and we have great momentum across our entire brand portfolio not only in terms of the efforts we're doing on e.l.f; skin to better educate consumers. Our innovations such as the holy hydration SPF 30 product are doing quite well. But also on Keys Soulcare which went out 100% skincare, as well as W3LL PEOPLE. W3LL PEOPLE, as a pioneer in clean beauty was limited previously just to cover cosmetics. We've now entered the biggest segment of clean beauty in skincare. So I feel great about our plans across the portfolio to continue to take capitalize on the momentum we're seeing in skincare as well.
Erinn Murphy: Great to hear. Thanks so much.
Operator: The next question comes from Olivia Tong with Raymond James. Please go ahead.
Olivia Tong: I'm sorry, had a little bit of trouble. So I apologize. I got on the call late. But I just wanted to understand the guide a little bit better. Because it seems like the makeup category continues to come back. And want to see if you're seeing any signs of slowdown, especially with the delta variant. We've obviously seen prestige start to gain some momentum, so is that impacting your demand in any way? And if so, what are you doing to combat that? If not, I guess I'd like to better understand why I assume that the growth momentum slows so materially in the second half of the fiscal year if you're seeing anything on the horizon, that that does give you pause, or it has become more challenging to get product from point A to point B. Thanks.
Mandy Fields: Yeah. Hi, Olivia. So I'll the first part of that question, I'll pass it over to Tarang to give more color on the category side. But from a pure guidance standpoint, we feel great about the core business momentum that we have. As I mentioned earlier, just really on Q3 is going to be the absence of our holiday program that we typically have that will be an impact to us in Q3. We've talked about $6 million in net sales impact to translate into about $12 million of what you might see from a track channel standpoint. And then as we go into Q4, starting to cycle stimulus. So in Q4 last year, we had a 24% net sales growth quarter. And that was driven by stimulus. And as we cycle that we are expecting to see that pull back a little bit. So otherwise, color and the category outlook I'll pass it Tarang.
Tarang Amin: Yeah. And I'd see on the color category, similar approach we've taken. We're just being prudent in terms of not counting on a massive rebound right away. So certainly the categories really started taking off based on the innovation and consumer interest, then that would be a potential upside for us. But we feel our strategies work pretty well if not getting ahead of ourselves and let the consumer momentum carries forward. And we'll see if we get some help from the category as well.
Olivia Tong: Got it? And then just W3LL PEOPLE and Keys Soulcare, just talk about - if you could talk a little bit about the long-term opportunity there. Because it sounds like you're getting a little bit more distribution. What do you think they can become as a percentage of sales? And sort of a legs that those 2 brands could have going forward?
Tarang Amin: So I'll take that Olivia, we feel there's great potential on both brands. We're still very much in the early innings of growth on both of them. And as a reminder, even though W3LL PEOPLE had been around for over a decade as a pioneer in clean beauty. Part of our thesis and acquiring that brand is we could expand the distribution, improve the innovation output, and really drive greater consumer relevance to the brand. And we're very much on that path. I think we did a brand recharge last year that we felt really good about in terms of getting more awareness on W3LL PEOPLE. I feel especially great about the innovation pipeline, we have particularly our entry into skincare. And we are expanding distribution. So the primary distribution, W3LL PEOPLE previously was target, our ability to get into a subset of Ulta Doors, I think is an important step there. But again, very early days still in terms of what we feel that brand is really capable of as a pioneer in clean beauty. Keys Soulcare, I'd say I'm even more bullish on for the long-term. And part of that has to do with the level of engagement we're seeing from Alicia Keys herself, the level of engagement of the community. And again, very much early days. We're only 9 months into the launch of Keys Soulcare and feel great about our partnerships with Ulta Beauty with Douglas, the other areas that we're at. But still - I think the other thing that gives me a great deal of confidence on Keys Soulcare is the consumer study that we feel would show incredibly high ratings on the quality of the products the ingredients, the packaging and sense. And really our biggest opportunity in Keys Soulcare is to continue to drive the awareness and trial of the brand. And we feel good about kind of the retention once we're able to do that.
Olivia Tong: Thank you very much. Appreciate it. Best of luck.
Operator: The next question comes from Linda Bolton-Weiser with D.A. Davidson. Please go ahead.
Linda Bolton-Weiser: Hi. So you've talked a lot about the pricing already. But I was just curious if in terms of the pricing you've already taken, was the volume response in terms of volume declines? Was it pretty much as expected? Or are there any kind of differences, reaction to the pricing versus maybe previously, when you had done pricing? Can you give us a little bit more color on that?
Tarang Amin: Sure, Linda I'll take that. So just as background on our pricing, our biggest pricing action to date in the U.S. was in 2019. We took almost a third of our SKUs up pretty significantly, and we saw great response on that pricing action. We didn't see nearly the level of unit declines that we had modeled, we actually built gross margin in the process. This year, we took a more limited set of SKUs in the U.S. So I'd say it's a pretty modest impact. From a pricing standpoint. Again, we like what we've seen in terms of our unit movement. International is where we took a much bigger level of price increase. It almost match the type of price increase we took in the U.S. in 2019. And again, we saw a better than expected unit movement than what we had modeled. And it was one of the reasons why the pricing action helped deliver 100 basis points of benefit to the gross margin in Q2. So to the earlier point, I feel we do have pricing power. We're always going to balance that with having an extraordinary value. And over the next couple of months here, we'll evaluate if we need to take additional pricing or not.
Linda Bolton-Weiser: Great, thank you. And then just in terms of your category exposures. I know that fragrance is not really part of eyes, lips face. But fragrance has been a really big growth area kind of during the pandemic and with the selfcare trend. Is that something that you would consider adding to one of your product lines in terms of fragrance?
Tarang Amin: Well, I won't talk specific plans. But what I will tell you is our vision for Keys Soulcare is very much a lifestyle beauty brand that in many respects transcends the traditional categories of beauty. And so our start was in skincare in the last quarter, you saw us launch into body care as well. And I'll tell you, one of the things that consumers are really responding to on Keys Soulcare is just a phenomenal sense that we have on that brand. And so definitely has an opportunity longer term, I feel to enter the same category. The form at which it will take we're not revealing this point, but definitely could see something there. And then longer term, I'd say probably further out relative to some of the category adjacencies we're looking at, but certainly for Keys Soulcare, I can see it part of our overall vision.
Linda Bolton-Weiser: Great, thank you very much.
Operator: The next question comes from Oliver Chen with Cowen. Please go ahead.
Unidentified Analyst: Thank you. This is Joanna on for Oliver. Thanks for taking our questions. Just curious about your marketing strategy around the holiday in the fourth quarter? Obviously, you increased marketing as a percentage of sales this year versus last year. Just maybe talk about areas you are allocating your spend, and sort of how you're checking your ROI. And also just curious if you are seeing an increase in marketing spend this year. Thank you.
Tarang Amin: Sure, Joanna. So on our marketing strategy, I think that's one of the things that's really working for us. On the last call we talked about the way we measure the ROI of our marketing is through Nielsen's marketing mix the multi-variate regression that can really isolate by vehicle, the gross sales per dollar invested that we're seeing. And we see very strong returns through that analysis. In addition, we have platform specific metrics, we take a look at whether it be the total number of user created videos on TikTok the number - the billions of views, or on Twitch and our channel there, the number of followers that we have, and how we take a look at what we're doing there. So I feel good about the overall progress that we have in marketing. It was one of the reasons that emboldened us to take up our marketing levels in our prior guidance. And so we feel that we're on the right trajectory. As we talked in the quarter, our marketing is percent of sales in Q2 were 16% versus 15, the year before well within kind of our range that we provided within our guidance. And then in terms of specific strategy for the holiday, I'd say you see a continuation of how do we do unexpected things that really drives greater consumer engagement. Even things like, we talked in our prepared remarks and jumping on that cultural moment with Jeopardy when Matt Amodio got the answer wrong, creating friends with him. The level of buzz we got, and continue to do that. So I'd say less holiday specific. Even though if you go on elfcosmetics.com keyssoulcare.com right now you can see some of our holiday efforts there and more about our overall success that we've had a really driving strong consumer engagement.
Unidentified Analyst: Thank you so much.
Operator: The next question comes from Wendy Nicholson with Citigroup. Please go ahead.
Wendy Nicholson: Hi, can you go back - did you say how much your e-commerce business or your online business direct-to-consumer business grew in the quarter?
Mandy Fields: We didn't give a specific number. But we did say it's up triple digits on a 2-year stack basis.
Wendy Nicholson: Okay. And my question has to do with - if I go on elfcosmetics.com calm, it does look like there's a fair amount of holiday promotion on the website. And that's great. But I'm wondering if any of your retailers kind of look at that and say, gosh, you're not doing a holiday promotion with us, but you're doing it direct-to-consumer. Is there any, any conflict there - obviously your market churns are great in brick and mortar. So I can't believe they're that upset. But I'm just wondering, the choice to do holiday promotions direct-to-consumer, but not in store, if you will.
Tarang Amin: So Wendy, there is a limited amount of holiday that we have online and with select retailers. If you went into a Target store right now you'll see as part of their corporate program, e.l.f. representing their holiday program. So there is some holiday. What we refer to as our main holiday end caps that we used to do, we forego them when we made our decision on supply constraint. But we do want to continue maybe to the prior question. We still want to engage consumers during this time. And so my advice would be if you see a holiday kit, hurry up and buy it soon, because it will sell out before the end of the season here. And then from a retail standpoint, we have great relationships. I think one of the things that retailers really appreciated were, we were one of the first ones that foresaw the container imbalance and proactively made those decisions in a time that allowed them to react versus what they're facing right now with a number of other players maybe falling short in terms of expectations. And so we've had no conflict there. Our retailers understand that elfcosmetics.com and our digital efforts are what fueled the overall business model. And so driving strong consumer engagement from there and then some limited presence in some of their stores has proven to be a winning formula.
Wendy Nicholson: Fair enough. Okay. Sounds great. And then on the international strategy, it's interesting to me that you call that out as sort of this massive amount of whitespace. And it's interesting that Keys Soulcare looks like it's really playing a big part in that between Douglas and I think it's Harrods. And so I'm wondering kind of do you still think that the e.l.f. brand has huge whitespace internationally? Or is it really more just Keys Soulcare? And how do you think about trying maybe pacing that growth? I agreed huge amount of whitespace just not sure when you get to an inflection point where it becomes really meaningful part of the business for you.
Tarang Amin: Yeah. So I we absolutely see. International as meaningful whitespace for the e.l.f. brand not only Keys Soulcare and eventually W3LL PEOPLE, but e.l.f. specifically. And our strategies really been to take a deliberate approach and make sure that we nurtured the right market in the right way. So the UK being our primary example, we're starting online then into Superdrug into Boots now both customers are expanding the brand even further. It's a good success model for us to take to other countries. And we feel the same model can work. I mean, we've seen the same thing that we did when we went into Canada originally with Target before they shut down their operations there, then to Walmart and now with Superdrug, in Canada, we've seen great momentum. So I think we'd follow a similar approach in other countries, which is established as the leading retailer in online and then roll up from there.
Wendy Nicholson: Terrific. Sounds great. Thanks so much.
Operator: The next question comes from Mark Astrachan with Stifel. Please go ahead.
Mark Astrachan: Thanks. And afternoon, everyone. I guess going back to one of the other questions and some previous commentary about stimulus effect on the category. I was just curious, any sort of thoughts on how beneficial it was and thinking more broader beauty but whatever, in whatever categories could be makeup could be whatever that did had a broader bigger impact on U.S. beauty category trends. So how do you think about a, what it was if you have any thoughts on that? B, how then do you think about its impact on your business? You obviously gave guidance around 4Q, but even sort of bigger picture, okay, your fiscal year ends in March. Not asking for guidance, but just directionally any sort of impact or how do we think about that on the business in the next 12 months?
Tarang Amin: Sure. So Mark, we track what we feel the impact of stimulus was. And if you take a look at our Last couple quarters, we talked about Q4 of last fiscal year being up 24%. Q1 of this year was up 50%. Those numbers were definitely aided by stimulus, we could see kind of when those levels came in how it impacted our business. I think for the category overall, we definitely think stimulus helped, but it was offset by some of the restrictions related to the pandemic. And so it might not be as clear to see from the overall category standpoint, but we definitely know for us it was one of the major drivers of those two quarters in terms of what we're able to see. And then as we go forward, I think we're just being careful of you had, particularly that third wave of stimulus was, by far, the biggest increase in disposable income for a lot of consumers. And so just being cautious to say, those dollars are not going to be there. So let's not get ahead of ourselves. Even though we feel really great about the business and the momentum that we're seeing.
Mark Astrachan: Got it. Okay. That's helpful. And then just lastly, thinking about the skincare business. Broadly, how much distribution does that product have on shelf? How much of that is separate from the core e.l.f. business. And maybe thinking about it in a different way as well is the market share bigger as a percentage of your online business for the brand versus the brick and mortar? I assume it is, but maybe that helps us kind of get a sense of where it could go at least near to medium term?
Tarang Amin: Sure. So I'd say on skincare, the market share is definitely bigger online. So if I take a look at elfxosmetics.com and Amazon skincare represents almost 25% of our business on both those sites. In national retailers or overall business, it's around 10%, a little bit less than 10%. So we have a long way to go. And a lot of it is related to as we continue to pick up more shelf space, our ability to put more of our skincare assortment in to do more with skincare, and again, across all three brands. So one of the things that gives me confidence in our skincare strategy is just the level of uptake we've seen online behind skincare and being able to get more distribution in.
Mark Astrachan: And just to follow up on that. Do you think then then that evolves. So maybe it doesn't quite get 25% of brick and mortar distribution. But does that get bigger than where we are today and is that one of the arguments that you can make to the retailers about adding shelf space?
Tarang Amin: It's very much part of our conversation with retailers. They see the momentum that we have in skincare even last quarter up 22% versus a category that was up 7. And then along with the innovation that we have coming on skincare, it's definitely part of our discussions in terms of giving more shelf space, not only for e.l.f. Cosmetics, but also for e.l.f. Skin. And then in terms of the nature of that shelf space, it varies by retailer. At Target where we have our largest sets, we're able to integrate skincare into our overall set. And we like that approach quite a bit and allows the cross shopping across categories for an e.l.f. consumer. At Ulta Beauty we have a few shelves within their skincare set. And, I think at some point when we are able to take sufficient space at Ulta Beauty we'll probably make the play to kind of integrate that as well. But right now it's in both spots.
Mark Astrachan: Got it. Thank you.
Operator: The next question comes from Rupesh Parikh with Oppenheimer. Please go ahead.
Rupesh Parikh: Good afternoon. Thanks for taking my question. Most of my questions are answered. But I just wanted to go back Mandy to your comments on gross margins. So you did indicate they expected to be down versus the prior year. So just curious if you can just talk us on the puts and takes for the balance of the year on the gross margin front.
Mandy Fields: Yeah. So as I mentioned in my prepared remarks, the gross margin for Q2 was a little bit better than we expected. And I largely think that comes down to the timing of when we're going to see some of these costs hit our P&L. So for the first half of the year, gross margin was down around roughly 250-260 basis points. I think we expect to see that on the year, still targeting to see that type of decrease as we look out onto the balance of the year. So again, it's going to be driven by those higher ocean freight costs, the FX impact as we've talked with some slight offset with pricing, as we talked about. But still seeing that 250 basis points kind of persist for the balance of the year.
Rupesh Parikh: Okay, great. Then maybe just one follow up. Just going up in March prior question. So you look at your first half of the year, sales are up almost 50% on a 2-year basis. So it sounds like stimulus has clearly had a positive impact at least on the first half of the year. If you look at your delivery is there anything else that cause for concern and maybe lap that these quarters next year, whether pent up demand or anything else are not based that would concern you when you go a lap this next year?
Mandy Fields: No. I mean, as I mentioned earlier, we feel great about our core business momentum that we're seeing across all of our brands. And so say for cycling those large numbers as we get up against the Q4 or into Q1 next year, I mean, our core business fundamentals still remain intact and quite strong.
Rupesh Parikh: Okay, great. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to the Chairman and CEO Tarang Amin for any closing remarks.
Tarang Amin: Well, thank you for joining us today. I'm so grateful for our incredible team at e.l.f. for again delivering outstanding results. Our products are resonating, our brand momentum and category performance is strong. And we believe continued execution of our 5 strategic imperatives will continue to fuel our ability to win. We look forward to seeing some of you at our upcoming investor meetings. And speaking with you in February, when we'll discuss our third quarter results. Thank you and be well.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.